Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Great Lakes Dredge & Dock Corporation Earnings Conference Call. My name is Giovanni and I will be your coordinator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's conference, Ms. Katie Hayes, Treasurer and Director of Investor Relations. Please proceed. 
Katie Hayes: Good morning. This is Katie Hayes, Treasurer and Director of Investor Relations, and I welcome you to our quarterly conference call. Bruce Biemeck, our President and Chief Financial Officer, will begin our discussion by presenting the financial highlights for the 2011 fourth quarter and year-to-date. Then Jon Berger, our Chief Executive Officer, will share his market overview. Following their comments, there will be an opportunity for questions.
 During this call, we'll be making certain forward-looking statements to help you understand our business. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain factors inherent in our business are set forth in our filings with the SEC, including our 2010 Form 10-K and subsequent filings.  During this call, we also refer to certain non-GAAP financial measures including adjusted EBITDA, which are explained in the Net Income to Adjusted EBITDA Reconciliation attached to our earnings release. I will now turn the call over to Bruce. 
Bruce Biemeck: Thank you, Katie. We issued our press release this morning and I assume you had a chance to look at it. I'm going to make some highlights -- make some comments on our highlights first from the total year 2011. First of all, 2011 was another successful year with $93.7 million of EBITDA, second only to $103 million in 2010. In our last call, we've reaffirmed our guidance of $85 million to $90 million of EBITDA, excluding gains from asset sales. Our asset gains of $8.6 million during the quarter exceeded our expectation and the resulting -- year's results places us within the guidance given. 
 We -- some of the highlights in the year, we executed significant turnaround in the Demolition business during the year, posting record revenue for the year in that segment. We increased our domestic dredging backlog versus year-end 2010 as a result of improved annual win rate of 43% of our bid market, which is above our traditional average of 40%. 
 International opportunities improved, highlighted by our fourth quarter win on the East Hidd dredging project, a $34 million land reclamation project in Bahrain, and bidding opportunities have been steadily increasing in this region. We experienced strong execution on projects in our rivers and lakes division, as we achieved our forecasted expectations for 2011 and continued growth in backlog. This has continued into the New Year with over $40 million of backlog and low bids pending award as of the end of last week. 
 In keeping with our strategy of rationalizing underutilized assets, in 2011 we sold 2 foreign flagged vessels and a piece of property in Texas for gains of over $11 million. The land was an unutilized property acquired in the 1990s as part of an equipment purchase, and the dredges were underperforming assets with increasing maintenance requirements and a limited market, such that margins on this equipment have not materialized in recent years. 
 As previously reported in detail, 2011 earnings per share were impacted by the issuance of new senior notes, which resulted in $6.2 million of additional expense for 2011. 
 During the quarter, some of the highlights to point out are the Dredging segment was affected by weather again in the fourth quarter, as it was in the third. And as a result, it affected our fourth quarter Dredging revenue and margin. 
 The Demolition segment experienced a very strong fourth quarter, posting record operating income for the quarter. Rivers and lakes had a strong quarter, concluding a strong second half after experienced extreme weather conditions during the first 2 quarters. So we got off to a slow start in '11 in rivers and lakes but the second half was very good. 
 Domestic dredging was affected by weather, as I mentioned, but also repair issues, many of which could have been better managed. Management has addressed these issues and believes 2012 results will reflect this. 
 Keep in mind when looking at our fourth quarter that in 2010, the fourth quarter was positively impacted by the work that we did in the Gulf on construction of the berms. Again, in the quarter, we sold the dredge in Northerly Island located in Bahrain and the piece of property in Texas which I had mentioned for gains of $8.6 million. 
 The 2011 bid market -- the domestic Dredging bid market for the year ended December 31 totaled $1,041,000,000 compared to $875 million in the prior year. The company won 43% of the overall domestic bid market, which is above its prior 3-year average of 39%. 
 For the full year of '11, Great Lakes won 62% or $198 million of beach nourishment projects awarded; 33%, which is $118 million, of the capital projects awarded; 36%, equaling $109 million, of the maintenance projects awarded; and 36% or $20 million of the rivers and lakes projects awarded. Great Lakes' strong win rate in the fourth quarter, along with the addition of East Hidd land reclamation project in Bahrain, resulted in Dredging backlog and pending awards of $355 million at December 31, which compares favorably to $317 million at December 31, 2010. The company's contracted dredging backlog was $319 million at December 31. That is without pending awards, which compared to $283 million at December 31, 2010. In addition, since December 31, 2011, we have won 7 projects totaling $264 million, including the previously announced $180 million project in Australia. 
 Demolition segment backlog was $51 million at December 31, '11, which compares to $81 million at December 31, 2010. Among several other projects, however, the Demolition segment has a $22 million remediation project in New Jersey, which is pending award at year end. In our Demolition business, we experienced further improvement in the fourth quarter in all areas of work, which include bridge demolition and Yankee Environmental. And just a few comments on the Demolition division, which was a bit of a roller coaster during the year. As you may recall, we made some changes in the early part of the year, installing new management in the second and third quarters. We improved bidding, estimating and the control environment immediately. We had significant losses in the first half, which were completely offset by positive results in the second half. And of note, we've had a number of successes on projects, bid won and performed during 2011. And we see a very strong market ahead. 
 Capital expenditures for the year totaled $25 million, which ties to our most recent forecast. We took advantage of a 100% bonus depreciation allowed by the IRS in 2011, which accelerated some spending. And we also spend about $5 million on items that we had normally rented and determined it was more cost effective to purchase. 
 As we noted on our last call, we've also, throughout the year, performed analysis rationalizing existing equipment and have reduced some of our equipment, not major pieces of equipment but equipment that we think is surplus or not performing with adequate returns. This is an ongoing program designed primarily to identify underperforming assets and eliminate the ongoing expenditures associated with maintaining these assets. We are also continuing our cost improvement programs associated with spending and procurement related to fuel, parts and pipe inventory and other cost line items. These are not areas of neglect, but rather areas where upgraded systems and methods can be beneficial. 
 Turning to the balance sheet. Our cash balance at December 31 was $113.3 million. As previously discussed, we refinanced the notes in the first quarter, replacing $175 million of 7 3/4% with $250 million at 7 3/8%, which are 8-year notes. Our revolving credit facility matures in June of 2012, and we had no borrowings against that facility at year end. We remain in the process of negotiating a new revolving credit facility, and we anticipate having that finalized shortly. Our ratios remained strong with total leverage ratio net of cash at 1.6 at year end and interest coverage of 4.8x. 
 Those are some summary comments related to operations and liquidity, and I'd like to now turn the call over to Jon, who's going to discuss some of the initiatives that I referred to, as well as strategic planning and growth considerations for moving forward. Thank you. 
Jonathan Berger: Thanks, Bruce. First of all, I'd like to thank everybody at Great Lakes for all the work -- hard work they did during the year. And I think it's been a very good year for Bruce and I in our first full year at the helm. What I'd like to first do is talk about what I think are some of the highlights from 2011 and then give you a view on where we think the market's going in 2012 and beyond. We did a lot of things to follow our goals and the strategies we talked about throughout the year. 
 First off, and probably the biggest highlight we have to talk about, is our Demolition business. It was a total restart, as many of you gleaned from our discussions. And we couldn't be prouder of where we positioned it. We told you that we'd either figure it out or get rid of it. We figured it out. We've positioned it very well. We've aligned it with our business, and we couldn't be prouder of how we executed in the fourth quarter and the opportunities we see going forward. 
 Some of the highlights from that are: one, focusing and developing a Bridge Demolition business, which deals with assets and opportunities on the water, a very specialized type of demolition that plays well with our other assets and our knowledge. We focused in on some brownfield opportunities. We think that's a real opportunity, especially with some of the other work that we've done throughout the year, and we see that as a continual growing opportunity. We focused our efforts on more programmatic opportunities, things that can provide multiple larger projects, including things like the utilities. And there'll be a significant amount of work in the utilities, and I'll talk about that a little bit when we get into a 2012 outlook and beyond. Also programs like the Army rack [ph] program and other programs that are what I would call, much more programmatic. And we've also looked at rationalizing some of the smaller business we're doing outside and in the Boston markets. And finally, we've really focused on opportunities, where we can combine dredging skills with demolition skills. And we actually have 3 projects either in execution or in backlog, that are actually joint project that our Demolition business is doing with our Dredging operations. 
 So all in all, we're very happy about that, where we put that business, where we positioned it. And we do expect that business to grow and we see the opportunities there. Secondly, we did an acquisition and as Bruce said, because of weather and some initial things, it was slow in the integration but we executed to our plan in 2011, that we budgeted as part of the acquisition. And we have integrated that business into Great Lakes and we, again, see that business as a growing sector and fitting in very well with us. 
 Thirdly, in 2011, we structured a TerraSea joint venture we talked about to go after the environmental services side of the business. We see that as a real opportunity for both our rivers and lakes and our smaller equipment. And in addition, we see that as a real opportunity to mesh with our Demolition business. It was really in the planning phases and the putting-together phases in 2011. But we have some tremendous opportunities on the bidding side that we're looking at now, and we'll hope to be able to announce some nice solid wins in the first and second quarter of this year. 
 And finally, we talked some about our international operations throughout the year and how we have to identify opportunities where we can get risk-adjusted returns to go into overseas. And we spent some good amount of time as a management team evaluating that, and we really see some very good opportunities internationally. And we've focused our efforts, again, in the Middle East, where Bruce talked about the Hidd reclamation, and we see the market growing there. Also, obviously, the win in Australia, we see Australia as a growing business. And as we move some equipment there for the next 3 years, we expect probably to have an office there and work through there as we go forward. We see a significant amount of opportunities on the natural resource side in Australia. We have one of our business development team out in India right now on a 2-week mission with the U.S. Department of Commerce, exploring the ports and opportunities there. And we also have spent some time and hired a professional to help us get into Latin America, Brazil, Colombia and Central America. And we believe that'll also be fruitful for us. So we accomplished a lot of our goals in 2011 from the standpoint of identifying areas to grow and build some growth into the organization. 
 Bruce talked about some of our other opportunities and things in 2011 that we looked at, such as cost containment, rationalization of equipment, and you saw that with the sale of the Victoria and the Northerly and an excess piece of land. And finally, I think we announced the beginning of the year, we've restructured some of our compensation programs to better align our management's focus on the fact that we have to get a return on assets for our shareholders and just not an EBITDA goal. We think that's an important step in re-educating our people that we have to provide returns on assets and it's important for our shareholders. 
 Now let's talk a little bit about where we see the market in 2012. Because of the big Wheatstone win -- let's talk a little bit about International. Obviously, the Wheatstone project we announced, $180 million. We think that, that has opportunities for us to increase, and we also see tremendous opportunities for additional projects in Australia once we get down there. Many of you spent some time and have looked at the natural gas programs and natural resource programs in Australia on the west coast. And we expect that there'll be a significant amount of work there. Our plans are to mobilize Brazil -- into Brazil one of our clamshell packages. We talked about hiring a Vice President to focus on South and Central America. We think there's a nice market there for some of our clamshells and some of the work we can do. We think there's river work in Colombia. And so we're going to get into Latin and Central America. We've made the investment to hire a senior professional. He will be going down there, probably in the second to third quarter, once we sign up our first major project that we believe we'll have soon. And we expect that to be another market that fits well for our equipment. 
 The Middle East, just so you know, we've seen continued growth in the bidding opportunities. East Hidd is one of several projects we're proposing on now, and we see that market picking up again. So our Middle East, we expect to improve in the coming year from a revenue side. 
 And we talked about India. India, I think, long term, is going to be a tremendous growth market. And we talked about the fact that we identified someone to do some work with together there and we're investing some resources. So we see that market as an interesting market and a market that should be good for our equipment in the long term. 
 Secondly, let's talk a little bit about coastal restoration. We announced that we won Pelican Island and we're doing that now. And we were low bid on a second major coastal restoration project, Scofield. We expect that to be awarded in the next couple of weeks. And we expect to see a significant amount of money coming in for coastal restoration, as we've discussed in the past. We think the Scofield project is very exciting because it involves a long of pipeline, and we think there are numerous opportunities that will come off of that project. 
 Additionally, I think many of you may have seen that there was legislation passed in the House, the Coastal Restoration Restore Act. I can't tell you if it will pass in the Senate, but the legislation basically said that 80% of the fines will go to Gulf Coast restoration. We've also heard some noises of a BP/NIRDA settlement, where those fines will be. But we're very comfortable that there will be money in the Gulf Coast region for restoration and we expect to see numerous projects coming out over the next 12 to 24 months. So we've talked about that market. That market is coming to us now. 
 Thirdly, I'd like to talk a little bit about the rivers and lake market. We talked about, and Bruce has mentioned, that with our backlog and low bids pending, that business has its largest backlog in the history of its business. We see opportunities along the Mississippi River. We see lake opportunities there. We see opportunities with our TerraSea joint venture. So we have significant hopes that, that business will continue to grow significantly for us in the next year or 2. 
 We've also identified that there are opportunities potentially to work with state and local governments and potentially helping them finance smaller projects. And we've had discussions with the -- a significant amount of regional bankers. And we actually came out with a small program, where we would take responsibility for executing a project and then helping them on the financing side and actually then placing the debt for them. So it's something we started right at the end of the year, beginning of this year. It's garnering some interest in the marketplace, and we believe that it will help jump-start some potential projects that are out there in backlog for communities that just aren't finding a simple way to finance them. 
 The fourth thing I'd like to touch on a little bit is on the deepenings. You've clearly seen a lot of talk. You can't open a newspaper in any of the Gulf east coast communities that have courts and not 
 [Audio Gap]
 some legislation that passed
 [Audio Gap] 
 which allows for increased local contributions to the partnering with the Corps for funding federal projects and expediting them. And that's how the Miami project that should come out for bid this summer is getting done, with a larger local cost sharing with the federal government. And to get on the soapbox for a bit, you see billions of dollars of money being spent around these ports in preparation for the deepening and the federal money just needs to come in to help support the deepening. And with the Panama Canal being still on plan for completion in '14, you'll start seeing those dominoes coming in. 
 As for Miami, we feel we're best positioned to get that business. If anybody's paying attention to Miami, the big -- right now, it's not out to bid yet because there's some environmental groups who are concerned with what that'll do. And one of the big proposals, obviously, out there in initial discussion is a significant amount of blasting to execute on that project. We believe we're the only dredging company that can dredge the Miami Harbor with minimal blasting. And so we think that should be very attractive to both the federal government, the local government and the environmentalists. And in an RP scenario, we think that will competitively put us in a much better position. 
 Finally, on the Dredging side, let's talk a minute about the efforts in Washington. The Harbor Maintenance Trust Fund has had a significant amount of discussion in Washington and we've been discussed within the transportation bill. But everybody's best efforts and expectations are that nothing happens in Washington, and there may not be a transportation bill. But I would not say that our efforts have gone without value. The President's budget for '13 has a $180 million increase in the navigation budget, which is really dredging. And the rest of the Army Corps budget is either flat or potentially down a little bit. 
 Additionally, there's been a disaster recovery fund set up in Congress in December to do Mississippi River projects that both help our core Dredging business and our rivers and lakes business. And money has been funded into there, where in the past, it had to come through supplemental budgets or the Corps. So the discussions in Washington and the work we've been doing will increase the overall market for Dredging. We haven't given up on getting the Harbor Maintenance Trust Fund through. We have a tremendous coalition. I will tell you that the efforts and the amount of voice we've garnered in Washington is outside to -- outsized for a small dredging industry. And so we are seeing benefits from our significant amount of time and efforts in Washington. 
 So we do believe that there are tremendous market opportunities in almost all phases of our dredging opportunity: domestic, rivers and lakes, and international. And based on this market outlook, our equipment department is deep in the planning phase for equipment additions, which will allow us to take advantage of opportunities. And hard we're working to determine what is the right investments we should make. But I would not be surprised to see us make investments this year in equipment. 
 Lastly, from a market outlook, I'd like to talk about the Demolition business. As Bruce said, and as I said earlier, we position business with tremendous opportunities. We're seeing bridge demolition business has to come out. We executed on a project, and we're still doing it, on Memorial Bridge in Portsmouth, New Hampshire. And if anybody wants to go to YouTube and see it, it was a tremendous engineering feat for us to take the full center span down and actually lower it onto 5 barges at once. And we're taking it now to decommission and recycle the metals. We see and have won a couple of small utility projects, and we're in deep discussions for significant other utility projects. We think that, in conjunction with our TerraSea, we believe brownfield reclamations are starting to pick up again. And as Bruce mentioned, we have a $22 million low bid pending for a project in New Jersey, which is a brownfield that we feel very, very good about. And all in all, we think our Demolition business is on a growth phase and we like the market. And we like where we're going and taking it. And so we're very comfortable with the market outlook. We think there is some -- there's clearly avenues for growth, and we're still looking on the acquisition side. 
 And with that, I am glad for Bruce and I to take any questions anybody might have. 
Operator: [Operator Instructions] And our first question comes from Trey Grooms with Stephens. 
Trey Grooms: First question, so you mentioned on disaster recovery fund, that money has been funded there for Mississippi. Any idea on the timing of when we could see something roll out there? 
Bruce Biemeck: You're going to see projects coming out, I think. We actually had a small River and Lake project on a task order, and we expect to see some more task orders. We also see -- at the U.S. fleet, the hoppers are pretty full. So we're talking with the powers-that-be about turning some of that work into cutterhead work. But we expect to continue to see some of that work coming out, but some of it actually has. 
Trey Grooms: Okay. So you can continue to see that kind of pick up in '12? 
Bruce Biemeck: Yes. I believe we'll continue to see -- yes, we'll continue to see those opportunities throughout the year. 
Trey Grooms: Okay, all right, perfect. And then also, I believe on prior calls, you talked about the possibility of bringing on an additional ship or bringing on -- or a vessel or increasing capacity at some point in the future. And I think you'd mentioned that you might be making a decision on that, possibly in the first quarter. Can you give us an update on that? 
Bruce Biemeck: Well, as we said previously, we're pretty far along in the design and measuring the market. And we'd certainly like to see a couple of more events take place, such as the Harbor Maintenance Trust Fund. That would make us feel a lot more comfortable. But we do think that, that is a matter of time and we're proceeding with our design plans. And I think toward the end of the first quarter, into the second quarter, we may be at the decision point. 
Trey Grooms: Okay. But nothing definitive at this point yet. 
Bruce Biemeck: Nothing definitive because we put a lot of upfront work into this designing, reviewing, analyzing, making sure that our calculations are right for productivity and so on. And so we just don't want to jump the gun before we feel very comfortable with -- that our assumptions are in line. 
Jonathan Berger: A follow-on with that, Trey, I would say that there's nothing in our decision-making process that has changed, and we're on a path -- we're on the same path we were on last time. So really, nothing has changed. 
Trey Grooms: Okay. I guess, can you talk a little bit about -- so the big win in Australia, I mean, that's a great win for you guys. It seems, at least from what we know, historical International margins have been lower than the kind of overall industry -- or excuse me, overall company margins. So with all of the mobilization that's associated with that job, can you just kind of give us an idea how this particular job compares to kind of historical international work? 
Bruce Biemeck: Well, it reflects the change in our strategy to go -- to focus on projects that aren't the smaller, lower-margin projects that we've had in the past. We believe that larger projects, partnerships, as we've formed here, are important in going forward with our strategy of improving our International business, and this is an example of that. 
Jonathan Berger: Yes. And additionally, Trey: one, the cost of load, which will be expensive, is covered in the bid. And it is a private-pay client, not a government. And as Bruce said, it's a partnership, if you will, with BI [ph] and it's a significant long-term project. And we tend to do better on those type of projects than we do smaller ones, because I think our engineering skills and our partners' engineering skills allow you to engineer more profit into these projects. So we expect this to be a good project for us. 
Bruce Biemeck: Yes, partnership with BI [ph] but with significant ultimate customers that -- where there is more market ahead. 
Trey Grooms: All right, that's great. And my last question is on the Demolition business. You guys have done a great job kind of turning that business around. Can you give us an idea just -- I don't know if there's -- how much detail you can give us, but as much as possible on kind of where you see that business, at least from a margin standpoint, kind of long term, how it kind of compares to the overall business? That'll be helpful. 
Bruce Biemeck: Well, I'll say a few things first and then let Jon come in. We -- as Jon said, we tried to redirect the business through our new management to focus on more sophisticated projects. More sophisticated projects are going to result in different margins than we've seen in the past -- that is, higher margins than we've seen in the past. We had a very well laid out strategy of what markets we want to look at. We had a strategy of getting our Demolition business' feet wet -- that is, in the water. And they are now looking at projects, both on land and in the water, which we think is significant. They're working with our dredging division on certain projects. And we think that the direction that they've taken is
 [Audio Gap] 
 Again, in answer your question, we see improved margins ahead. 
Jonathan Berger: Yes. And Trey, I think we may have talked about this before. When we really dug in to our Demolition business, we saw that, again, we made money on bigger projects, more sophisticated projects, projects that involved more engineering and scale. And the 80/20 rule, we had a lot of smaller projects that we did to fill but really were making low margins on. And so as we redirected that business and as we talked about getting into programmatic things like Army Corps rack [ph] programs, going after utilities that value safety, value engineering skills -- and you're dealing with more associated people. You tend to deal with higher-margin projects and you keep out of -- and you keep away from some of the people that just drive down the market price because, whether it's bonding requirements or taking down a bridge, or it's level of sophistication and safety, if you're dealing with a utility or things like that, that we believe we're going to be able to push the margins up in that business as we go along. So we feel good that not only our revenue is going to continue to grow in that business, but we also believe margins should expand also. 
Operator: Our next question comes from the line of Andy Kaplowitz with Barclays Capital. 
Mark Mihallo: It's Mark Mihallo on for Andy. So I had a quick question. Just, Jon, you touched on it a little bit, but can you kind of provide a little bit more about your 2012 outlook versus 2011, just in terms of -- whether it's your backlog, revenue, EBITDA outlook or if you want to talk a little bit more about your domestic dredging bid market or kind of a win rate you expect in 2012? You had a very solid, like 43%. Do you still expect that in 2012? 
Jonathan Berger: One, as you know, we obviously don't give guidance until the second half of the year. But our backlog is up. We see no reason why our win percentage should not trend the way it's historically trended. And we believe, certainly, on the Demolition side, we're moving in a way that we won't have a first half of the year that we had last year and where we're planning a lot of cash up and we're rolling off of a lot of poorly bid jobs, where we had to take some reserves and completing things with 0 margins. So though we don't give guidance, I mean, I think you can probably tell from our voice that we're very optimistic about where '12 should be. 
Mark Mihallo: Right. And I think you touched on it just now with your answer, as well the previous question. In terms of your Demolition segment, I'm guessing you're saying that you expect a more consistent earnings stream in 2012 versus 2011 and do not expect the kind of, I guess, the roller coaster that you had in 2011. 
Jonathan Berger: Yes. I mean, between all of us now, we can obviously say that, that was a complete restructuring, right? 2011, we totally recognized the problems in the first half of the year and we acted quickly. We had 7 projects, I guess, that we'd bid, that ultimately were lost projects, that had 0 margin. We had to take hits on them. There's still a few -- a little bit of runover in our backlog, but not much. And the new backlog that we're booking is backlog in good margin. And we have the proper controls in place and the people in place to make that happen. I mean, we probably got rid of, what is it, 25%, 30% of our management? I mean, we did a complete overhaul there and so we feel comfortable that's going to be a more steady operation. 
Mark Mihallo: Okay, great. And then just finally, we've been hearing just some, I would guess, a few riots that are occurring in Bahrain to mark the one-year anniversary of the uprising there. And you also recently announced just your project in Bahrain. Are -- is there any difficulty right now in terms of that project ramping up, or it's just kind of steady as she goes? 
Jonathan Berger: No. That project is working right now and understand the nature of that project. It -- that -- how they deal with it -- some of the situations in Bahrain and results of the Arab Spring is they announced that they were going to build 50,000 homes for the Shiite majority, even though it's a Sunni ruling class. So the East Hidd project is actually the first big project. So we're building the island and they're going to build 3,000 homes and a full community there. So that was announced in the fall. It's fast-tracked. We started pumping sand -- my guess, after mobilizing, right after the first of the year, Bruce?  And we told them we'd be done in a year, and I think we're ahead of schedule and we'll be done before the end of the year. And there will be more things along those lines. So yes, I mean, the things that are going on now, we dealt with them last year. I think they're nowhere near as profound and most concern that we have right now. And I think keeping an eye on it but we're working. We're away from the Pearl Roundabout and we're in a rather secure area right now. 
Operator: Our next question comes from the line of Philip Volpicelli with Deutsche Bank. 
Philip Volpicelli: Jon and Bruce, my question is with regard to the backlog, the $264 million of additional backlog you booked since the end of the quarter. So $34 million of that is East Hidd, $180 million of that is the Australia project and then there's $50 million. Can you break down that $50 million? 
Jonathan Berger: Yes. The answer is East Hidd was booked before the end of the year. So $46 million is the low bid on Scofield Island, which is a reclamation project. And that'll probably start, Bruce, in the third quarter? There's a lot of mobilization there, so significant amount of pipeline and equipment utilization. There are a reasonable amount of river and lake projects that came on. And there's a... 
Katie Hayes: Beach project in San Diego. 
Jonathan Berger: Yes, there's a San Diego Beach project, which is just under $20 million also. So yes. I mean, it's a nice mix of business for us to go on, yes. 
Philip Volpicelli: That's great. And then in terms of the assets -- the surplus assets that you sold, are there more surplus assets that we should expect to be sold in 2012? 
Bruce Biemeck: Nothing's imminent. But as I said, it's a program that we began to measure the quest of keeping and maintaining equipment versus historical utilization and the market. And so we have our eyeballs on a few things but nothing imminent and nothing significant as we had in 2011, at least at this point. 
Philip Volpicelli: Okay, great. And then in terms of the demolition, the 7 jobs that you both mentioned, that are at a loss, I think both of you danced around how much is left in the backlog there. Could you maybe put a dollar amount on that or an expectation on how much pain your operating loss is going to cause? 
Bruce Biemeck: Well, there are no more operating losses. We lost reserves -- those jobs, which means we took the hits for the entire job. And so as we go forward, we recognize revenue and 0 margins. So it's not losses that we're recognizing. It's just revenue without any margin. I think we're down to 2 projects, 2 significant projects, significant historically, nothing significant really going into 2012. I think the backlog might be -- how much? Apparently about $4 million that we have in backlog right now. However, on those projects, there is some additional work which we're not bidding at a loss or taking at a loss. So there may be upside to those very projects. 
Philip Volpicelli: That's great. And then my last question, I know you don't give guidance for EBITDA until the second half of the year but could you provide CapEx guidance for the year, assuming kind of excluding whether or not you build a new dredge? 
Bruce Biemeck: Yes. We -- it depends first on whether the -- and I don't know the update on the tax benefit. I don't think it's passed yet. But if it should pass, we would, again, try to accelerate some of our future needs but barring that, I'd say that we're -- I think we saved $15 million to $25 million normally and I think that's about where we target right now. 
Operator: [Operator Instructions] And next in line, we have John Rogers with D. A. Davidson. 
John Rogers: I guess first of all, I mean, it looks like with your bookings first quarter -- at the end of the first quarter, depending on revenue, you're going to be close to record backlog there. And I guess I'm wondering how to think about that in terms of utilization rates, because some of this work extends out longer than you normally have. But as it stands right now, your utilization rates, I assume, are going to be pretty high and can you compare those 2011? 
Bruce Biemeck: Well, we've sort of been careful about talking about utilization and capacity because of different configurations of equipment and support equipment. In fact, the only place where we've really detailed it is in the rivers and lakes division, where we can -- where we have a better fix on what those dredges are capable of doing, given the market. And as we said when we acquired that division, it's basically a $40 million a year -- it has been a $40 million revenue per year business. And we think that with existing equipment, we could perhaps do twice that amount. In fact, in the third quarter, we had $15 million of revenue and said, "Well, if you annualize that, you could get to $60 million." And so that's a small component of it. There is some backlog we have that carries into future years. In fact, the Australia project really doesn't get going until the fourth quarter of 2012. But we have a significant amount of backlog, and we'd like to think that the market will continue to provide opportunities. And as it does, we'd like to think that we can greater utilization out of our equipment. 
John Rogers: Because assuming that, that's as important as just your bid margins, I mean in terms of getting your overall margins up. 
Bruce Biemeck: It is, because there are fixed costs to cover. That's right. And so we carefully take a look at that by piece of equipment. As we win jobs, we plot it into a schedule to indicate what our utilization for that piece of equipment. There are some variables such as option work for federal projects. Option work means that the customer, at their option, can add some work to it. So it requires some strategy just thinking about what else to bid, if that option should be exercised. But as it is, we have a pretty full booking for our hopper dredges at this point and have some additional capacity for our cutter dredges, our hydraulic dredges and also our clamshell equipment. 
John Rogers: Okay. And Bruce, in terms of depreciation for '12, can you tell us what that looks like, because it bounces around still a fair amount quarter-to-quarter... 
Bruce Biemeck: It bounced around this year because, as we said in the last call, we had a number of capital leases -- in effect, capital leases in our Demo division that had originally been acquired and treated as expense, and so we capitalized some of those items. And so that's why there was some bounciness to it. It's usually flatter than that. I don't know, Katie, if you have a forecasted depreciation budget number but... 
Katie Hayes: Yes. I mean, for depreciation for next year, I think this year, we were at about -- depreciation and amortization was about $40 million. I would say probably $38 million to $40 million next year because you're going to roll off some of the amortization from 2011. 
John Rogers: Okay. And then, sorry, just one last housekeeping one. In terms of a tax rate, it dropped down in the quarter. I assume that has to do with the sales of the equipment. Should we be thinking about a more normalized tax rate next year? Or for 2012? 
Bruce Biemeck: Our mix of business in states -- the big factor in our tax rate is state rates, which vary quite a bit between, say, New York and Louisiana. So at any time our tax rate is the federal rate plus the combination of state rates for where we're working. 
John Rogers: Okay, okay. But there's -- but even with more work, I guess, more out into 2013 internationally, I mean, will your tax rate then come down? 
Bruce Biemeck: Well, interesting question. Part of our strategy now is determining, as we look forward at the growth in our International business, just where our structure is going to be. And I don't think Jon and I can answer that yet. But our policy in the past has been to perform work and repatriate those earnings, and they fall right into the tax bucket. But there are alternatives and it depends on how we can strategize for the future and what needs we see ahead internationally. 
Operator: At this time, I'm showing no further questions in the queue. I'd like to turn it over to our speakers for any closing remark. 
Katie Hayes: Thanks very much for joining us today. We look forward to talking to you after our first quarter. 
Jonathan Berger: Thanks, everyone. 
Bruce Biemeck: Thank you. 
Operator: And ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may all disconnect. Everyone, have a great day.